Operator: Good afternoon, ladies and gentlemen and thank you for standing by. Welcome to the Raven Industries Inc. fourth quarter 2009 earnings conference call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question and answer session and instructions will be provided at the time for you to queue up for questions. At this time, I would like to turn the call over to Leslie Loyet of the Financial Relations Board. Please go ahead.
Leslie Loyet: Thank you. I'd like to thank everyone for joining us today. Earlier in the day, we sent out a press release, outlining the results for the fourth quarter and year-end of fiscal 2009. If anyone has not received the release, please either call Hon Hoy at 312-640-6688 and she will send you a copy, or visit Raven's website at www.ravenind.com to retrieve a copy. Joining us today from management of Raven Industries, we have Ron Moquist, President and Chief Executive Officer, Tom Iacarella, Vice President, Chief Financial Officer, and Dan Rykhus, EVP and Flow Controls Division Manager. Management will provide an overview of the quarter and the year, and then we'll open the call up to your questions. Before we begin, we'd like to remind the participants that the information contained in this call is current only as of the date of the call, March 12, 2009 and the company assumes no obligation to update any statements, including forward-looking statements made during this call. Statements made by the company that are not historical facts, are forward-looking statements that are subject to the Safe Harbor Disclaimer in today's press release. At this point, I would like to turn the call over to Ron. Please go ahead.
Ron Moquist: Hey, thanks, Leslie and good afternoon everyone, and thanks for joining us on our fourth quarter conference call. We released our fourth quarter and year-end results this morning, although we had a pre-release on February 13. It was a good year, sales up 20% to $280 million and net income up 11% to $30.8 million or $1.70 per diluted share. But the fourth quarter was weaker than I anticipated when we talked back in November. And at that time, as you will recall, I thought the fourth quarter would be relatively flat. Instead, it was down 22% on a year-over-year basis. Most of that shortfall was caused by the operating income loss we had in Engineered Films and demand for our residential and commercial construction products and our pond liners for oil and gas drilling (inaudible) and these would typically make up 70%, 80% of our sales in the fourth quarter. With a more normal performance from Films, we would've had the flat fourth quarter that I was anticipating. Of course, there is nothing normal about what is happening in the marketplace today. I normally spend a fair amount of time going over the fourth quarter and full year results, but I don't know how beneficial that will be for you when we are facing a much different marketplace than we did a year ago. So I'll highlight some of the things we did in the fourth quarter and hopefully provide some color and discuss prospects and outlook for the coming year and leave plenty of time for questions at the end. Before I get started, I wanted to make sure everyone knows that we recently changed the name of our Flow Control division and it is now called the Applied Technology division and I think the new name better reflects that we are not just in the business of making liquid sprayer controls for the agricultural market; that is how we got started 30 years ago, but today, we are much more diversified with GPS steering, planting, spraying, and harvesting controls and data management. So Applied Technology is now the name of our Agricultural Products division. And they had a terrific year with sales up 60% to $103 million and operating income was up 77% to almost $34 million. There is no question that this was the best ag market in history, with great crop prices and high farm income. But we also did some good things to take advantage of that opportunity. We expanded international sales by 75%. We now have 19 people in our international sales and service staff. We added distribution in Australia and Canada. We had double-digit growth in Europe. In South America and Eastern Europe, we are a little more cautious, because the markets are less stable, but we still had growth in those areas. And we introduced a number of new products. Last year, as well as adding features to existing products, a primary goal for us is to emphasize simplicity and reliability. Sometimes, you can make control systems so feature-rich, because of all the memory capability you have, that they become a burden to use and we want to enhance the Raven brand by becoming known for ease of operation, quality and reliability. Certainly, we can’t sustain the high levels of growth Applied Technology saw last year. That was already obvious by the fourth quarter, when sales increased 18% and operating income 17% versus sales growth of 75% and operating income growth of 96% in the first nine months. We can grow the division this coming year, but it will be a challenge. We have a plan in place to expand our dealer network worldwide. We will be partnering with some major OEMs and we will be expanding our product offerings, especially in the areas of providing critical information and managing data. Our wireless offerings will also become a more significant revenue source. On February 1 of this year, Matt Burkhart was named General Manager of the Applied Technology division and he will report to Dan Rykhus, who will also have the Electronic Systems division and Information Technology department reporting to him. This is all part of a succession plan that our Board of Directors put in place as I get closer to planned retirement in mid-2010 at age 65. Well, let us get back to operations. Our Engineered Films division, based on sales volume had a good year, but the 38% drop in operating income tells the real story. It was a year driven by high material costs, which helped boost the sales number, but tough pricing pressures didn't allow us to cover all those higher material costs and thus the margin squeeze. The fourth quarter really exposed the current weakness of this business segment, when sales were down 28% and we had an operating loss of $178,000 versus operating income of $3.4 million for last year's fourth quarter. As I already told you, our two major markets, construction and energy are in the tank and a major rebound to this division won't happen until these markets start coming back. But we will make money in this division even under these difficult circumstances. One of the things we have going for us is that we are a financially strong company in a fragmented and weak plastic films industry. And that gives us an opportunity to take market share and boost profit margins. And here is how we plan to do that First, we will emphasize product differentiation by creating high-quality films at prices close to competitors, lower performing commodity films, offering customers a better value for nearly the same price. Second, we can negotiate better prices on raw materials, because we are a more financially reliable customer, and of course, raw materials in our business is practically 70% of the selling price, so it is a critical part of the formula to make money in this business. And third, we will improve operating efficiencies. We have got new efficient equipment and we are rightsizing the business to reflect current opportunities. Even with the down economy, we continue to introduce new and innovative products, especially multilayer barrier films to block gases such as radon and methane for construction and landfill covers and oxygen barriers to reduce spoilage in covering silage for cattle feed. And we have got a number of new products in trials and testing. The point is we are not just going to ride this out. We're going to address new markets and take it to the competition and we are not going to do it through price-cutting. It is going to take time to return to the profitability we saw in past years, but from an equipment, technology, and financial standpoint, we are in the best competitive situation to that. Our Electronic Systems division had sales decline of 9% and operating income drop of 43% for the year, but those results were not unexpected. We lost a major customer a year ago, and sales of our wireless handheld bed controls continued to drop as the housing market declined. But in the fourth quarter, when most businesses were declining, we showed strength with operating income growing 15%, and that was a reflection of new efficiencies we implemented in the first half of the year. With handheld bed controls continuing to slide, we were focused on two major markets printed circuit boards for avionics and secure communication devices for government agencies. These are both good markets for us. Avionics is our largest business with more than 50% of sales and it grew 33% this past year. We believe this business has the potential to grow further, unless Boeing and Airbus, our two major customers, unless their aircraft product schedules are pushed out or canceled in the coming year. Sales of secure communication devices should hold up well in the recession, because of increased government spending. Electronic Systems, as you know, is a contract electronics supplier specializing in low volume high mix manufacturing, with a high level of customer services and engineering support. It is not a growth driver at Raven, but it has growth potential and that is because we are becoming more competitive when total delivered cost is considered. Quality and supply chain disruption issues associated with Asian competitors are becoming more apparent and customers are still looking for best price, obviously, but they are aware that a break in the supply chain can have disastrous consequences. Financial stability and reliability of suppliers have become increasingly important and that should benefit our Electronic Systems division. Our Aerostar subsidiary had an especially strong fourth quarter, with sales up 83% and operating income at $1.8 million versus $689,000 in last year's fourth quarter. We have shipped almost $5.2 million worth of MT6 parachutes in the fourth quarter, which was half of all the shipments Aerostar had in the quarter. In a more normal quarter, it would've been about $2 million in parachute shipments. For the full year, sales were up 57% in Aerostar to $27 million and operating income of $4.2 million was almost triple last year's $1.5 million. Aerostar is still a relatively small part of Raven’s total, but they are growing and it was the best year in Aerostar’s history. Aerostar is in four major businesses, and all of them did well in the past year. We have military parachutes and specialty government protective wear, high-altitude research balloons, and finally, aerostat and other inflatables. These are all businesses that should do pretty well in the recession, since they are mostly sold into the government, military, and scientific markets, which are holding up well. We are still developing an unmanned airship, powered by solar panels, which will fly at an altitude of 67,000 feet and stay in place for 60 to 90 days. And the first airship we launched was only partially successful and so the need for a second test airship. If successful, this airship would have a number of tactical military applications, as well as commercial and scientific uses. We also made good progress during the year at our tethered aerostat business. These blimps are mounted on mobile trailers with winches and generators, electronics and are capable of flying at an altitude of 2000 feet. We received an order for $1.8 million during the year from the US Government and expect to see follow-on orders. One of the highlights of Aerostar’s year was a successful flight of a specially designed high altitude research balloon, which broke the endurance record by staying aloft for 54 days. And balloons are cheap way for scientists to get instruments into near space without the expense of rockets and satellites. The big problem in the past has been that balloons were limited to a few days or weeks before the balloon leaked helium and then fell back to earth. NASA has stated that they see strong support for this type of long-duration balloons. So testing will continue throughout 2009. Well, that is how our four operations did last year. It was a good year, with earnings per share growing to $1.70 from $1.53 and once again, it demonstrated how our diversification helps offset a downturn in one of our businesses with a strong effort in another. There is still variability with this model, but over time, I think it improves our risk-adjusted returns. We came out of the year in great shape financially and our key financial ratios held up well. We had a return on sales of 11.0% versus 11.9% last year. We had a return on average assets of 21.1% versus 20.8% last year and a return on beginning equity of 26.0% versus 28.3% last year. And that 26.0% would have been higher, but we were carrying a lot of cash, which we ultimately paid out in the form of a special dividend, but that came later in the year and we take this measure as a return on beginning equity. So if it would've been based on average equity, again that percentage would've been somewhat higher. It won’t surprise our longtime shareholders to hear that our balance sheet is strong with no debt and $16 million still in cash even after the special dividend. We paid out a total of $37 million to shareholders last year and that included stock purchases, repurchases, regular dividends and the special one-time dividend of $1.25 a share, which cost us $22.5 million. We aren’t looking at any acquisitions at this time and we won’t make an acquisition except under the most favorable circumstances. So that shouldn't consume any of our cash this year. Looking at the first quarter and the year ahead, our plan is based on the belief that no meaningful turnaround will take place in the economy until at least mid-2010, and that it will be slow and long recovery. Not all of our businesses are positioned for growth in this difficult environment, but together, they provide us with the strength to remain financially strong and profitable. And that gives us a big advantage, when one of our businesses with solid fundamentals is going through a down cycle in a weak market. In this environment, you can’t rely on the same old playbook and traditional long-range planning becomes meaningless. We believe that anyone doing three or five year strategic planning is wasting corporate resources. Raven has the resources to come out of this recession a strong survivor, but we have to re-calibrate our thinking and implement a new strategy. For the near term, growing the business at previous target rates of 15% per year on average is no longer an imperative to us. Our new strategy is to protect the core, to generate and preserve cash, and to invest in quality. When I talk about protecting the core, this is not just about survival. It is about protecting core assets and core values; our plan is to get rid of everything that is non-core. This includes customers, product lines, assets, and jobs; but it does not include any of our divisions, any of our four operations. We will protect businesses that have performed well in the past, but will struggle in this recessionary environment, such as Engineered Films. And we will protect core values and beliefs. When we talk about generating or preserving cash, this isn’t something new to Raven. We will defend the balance sheet, reduce our risk profile, and improve working capital turnover. And that means improving inventory turns, extending accounts, payable turns, reducing capital investments by $3 million to $5 million, cutting expenses to the bone, and suspending stock buybacks until we see less volatility in the marketplace. At the same time, we will continue to pay the dividend, because returning cash to shareholders as one of our core values. And finally, we will invest in quality in everything we do. Customers must be financially sound. Suppliers must be reliable. I really believe that a break in the supply chain can be more devastating than losing a major customer. So we have to be very concerned about who we are doing business with from a supply chain standpoint. We have to eliminate waste scrap and rework on our products as we always have. We think we can achieve a savings there of $2 million to $3 million this year. And cut R&D projects down to those that have high projected returns and relatively low risk and that could save up to $2 million. This coming year will be the most challenging in our history. We will have a good year, but we don't expect to top last year's record earnings of $1.70 per share. But we will optimize the situation handed to us and we have a number of scenario strategies developed, which we are prepared to implement quickly as our markets and the economy unfold to maximize our results. I won't get into any forecasting or guidance. We have never done that in the past anyway, but I think it is becoming really clear how our four divisions are positioned in this recessionary market. Engineered Films is in the toughest shape, because construction and energy are 70%, 80% of their business; and those are two tough markets right now. Electronic Systems is in better shape, depending on the production schedules of Boeing and Airbus. Aerostar maybe in the best shape because most of their business is already booked. And then Applied Technology is the most important, because of its size. The ag market is better – really in better shape than most, being anywhere we believe from flat to slightly up from last year. We're anticipating a good year, but we will have a lot better visibility by the end of the first quarter in our Applied Technology division. We're selling a relatively low cost control system versus big iron tractors and combines and that makes the difference and that gives us confidence for this coming year. So it won't be another record year for Raven, but a year where we should be able to show the power of an unleveraged balance sheet, a diversified portfolio, and a history of conservative management. And with that, I will open it up to questions.
Operator: Thank you. (Operator instructions) we'll take our first question from Michael Cox of Piper Jaffray.
Michael Cox – Piper Jaffray: Thank you very much, gentlemen. My first question is on the Engineered Films segment. You indicated that you expect that to be profitable in 2009. I was wondering if you could give us a sense for the timing of returning to profitably there and how your inventory cost in that segment compare to current sales prices.
Ron Moquist: Well, we intend to be profitable in the first quarter of this fiscal year. So, fourth quarter was a bit of an anomaly, sales were poor. We were carrying over some very expensive resin costs, which caught us. I mean, it wasn't excessive inventory; it was normal amount of inventory, because we were not speculating on pricing, but we got caught with some expensive resin and we weren't able to move the price up and so we were in a margin squeeze and the fourth quarter really suffered because of that. We think the first quarter again will be a profitable quarter for us.
Michael Cox – Piper Jaffray: Okay, that is helpful and on the Applied Technology end of the business, can you give a little more detail around the distribution expansion that you posses?
Ron Moquist: Sure. I'll let Dan Rykhus handle that question. Dan?
Dan Rykhus: Sure. Michael, you kind of faded out there. Was it a question of distribution expansion?
Michael Cox – Piper Jaffray: That is correct, yes. Ron had mentioned a plan to expand distribution in 2009.
Dan Rykhus: Sure. It is really an extension of what we have been working on for the last year and that starts with leveraging the distribution channels of our OEM partners, the large OEM players in the ag equity market in the US. In the past, we have sold into their sprayer manufacturing units well and we are now moving towards a process of working more closely with their dealer channel to get a better representation of our products and really, an opportunity to train the dealer workforce on our products out in that channel. So that is one of the elements. We also are working more closely with some of our alliance partners and the channels that they have established into the grower market within the US.
Michael Cox – Piper Jaffray: Okay, that is helpful. Any international expansion plans on the distribution side?
Dan Rykhus: More of the same, really. I mean, we have – we're not completely built out in any of our international markets really yet. So we at continue to add dealers in Canada and that is showing some good success for us. We are continuing to bring on more dealers in Western Europe. In Australia, we brought on an excellent new resale partner down there last year and they went from zero to a real strong contribution for us this past year. So we're probably good in Australia and then in South America, we are continuing to work with our master distribution partners in Argentina and Brazil to help them find additional outlets for our products through their channel.
Michael Cox – Piper Jaffray: Okay, that is great. Switching gears a little bit to the Electronic Systems, the margins in the second half were pretty impressive in the double-digit range. Is that reflective of the current mix of business and do you feel that holding 10% margin in that segment is a realistic objective?
Ron Moquist: Yes, the fourth quarter really was a very strong quarter. But in general, I think we can maintain solid margins comparable to what we have seen in the past. Now we did have a period of time a few years ago where we had again that one very strong OEM and the bed control business was very strong. And we have gone from $17 million in bed control sales down to about $7 million and that was good margin business for us. So those margins were lost and that hurt us for a while, but now we are starting to build up and become more efficient with existing customers and so we're building our margins backup. I don't know if they will get back up to the point where they were three years ago, but we certainly expect a lot more than the 5% or 10% range.
Michael Cox – Piper Jaffray: Okay, that is helpful. And my last question is on the comments around shedding non-core assets, customers. Could you give us maybe an example of what you are looking at now and how is the process of identifying those.
Ron Moquist: Well, we're looking at everything. Anything we identify that isn't returning the cost of capital today and that we don't believe will return the cost of capital long-term is a candidate for disposal. That could be a building, it can be customer, it can be a piece of equipment, it could be a department, it could be almost anything and so we're looking at the whole company that way and what we're seeing is let us make sure that what we're working on is only the good stuff and the things that – when we get out of this recession, we will have a nice, trim, high margin business going forward. And so, as opposed to identifying a specific customer or asset I would just say that, everything that is not core is a candidate and the four things that are not candidates are our four divisions, three divisions plus the Aerostar subsidiary, but everything else is on the table and that might be a branch, it might be real estate, it might be a building, pieces of equipment, excess capacity, everything is on the table.
Michael Cox – Piper Jaffray: Okay, thanks very much and good luck here in the 2009 environment.
Operator: (Operator instructions) we will take our next question from Jeff Evanson with Dougherty & Company.
Jeff Evanson – Dougherty & Company: Good afternoon, gentlemen, thanks for taking my questions. A little bit more help on Engineered Films would be appreciated. The $14.5 million revenue level in this quarter, should we think about it as a low watermark for the next year or is that going to be more representative of quarters going forward do you think?
Ron Moquist: I think it is going to be representative. You know, unless we see some changes in oil prices, when oil prices go below $60 a barrel, we see a real slowdown in the amount of drilling activity and that is a big market for us with the pond liners. And with oil now in the low 40s, I don't know what it hit today, but we're just not going to have a lot of activity in that area. So specifically to answer your question, as things stand today, that number you quoted of $14.5 million is not a low watermark, it is going to be more of the same.
Jeff Evanson – Dougherty & Company: So planning around that level, if you would.
Ron Moquist: That is the way we're planning. We don't mind planning a contingency plan when things get better, but right now, we have right-sized the organization to address that kind of volume.
Jeff Evanson – Dougherty & Company: Tom, I don't know if you have it handy, but you typically provide a breakdown of Engineered Films in the 10-K. I was wondering if you had that handy right now.
Tom Iacarella: I don't have that detail out there yet, Jeff, sorry about that.
Jeff Evanson – Dougherty & Company: Ron, you mentioned the extra cost here related to more expensive inventory in Flow Control or in Engineered Films. I was wondering if you could just quantify the magnitude of that.
Ron Moquist: Well, the magnitude was unbelievable. We saw – in the period of probably six months to seven months, we saw resin, some resin, prime resin; all those are prime resin, more from $0.90 a pound to $0.35 a pound. That was the range and we saw everything in between and now we're starting to move back up. Not because there is a lot of demand, because there isn’t – there has been so much capacity taken offline by the chemical companies realizing that the demand isn't coming back anytime soon, that they have just mothballed a bunch of their plants, and in doing so, what they are trying to do this reduce the amount of supply in there – get the prices back up into that. I think they are looking; they're trying to get it into their $.50, $0.60 a pound range. We will see some prices ticked and some don't. My point was that I think suppliers or anybody really in this environment is going to be looking for customers like Raven with a strong balance sheet and can pay their bills and I think we have an ability to negotiate based on that strong balance sheet.
Jeff Evanson – Dougherty & Company: Yes, I would think so, I can see that. I want to turn briefly to – well, let me ask you this, I guess I'm a little puzzled by this analysis of what is not core. You know, I have been there many times to see you guys, there is not a lot of fat around that organization. How much core could you shed?
Ron Moquist: It is always interesting when you actually do the exercise, you start looking around and you look at your budgets and you look at your expenses and you look at your CapEx. You look at your inventory, if you did it better, you look at your accounts payable, if you stretch them out a little bit and look at your receivables, you think you could collect a little faster although that is going to be simply a challenge in 2009. There is a lot that can be done, but in terms of excess assets, hard assets lying around, no we don't have a lot of them.
Jeff Evanson – Dougherty & Company: How about in terms of the ability to reduce SG&A year-over-year?
Ron Moquist: Yes, we can do that.
Jeff Evanson – Dougherty & Company: 10%, what do you think, could you reduce it that much?
Ron Moquist: If we really wanted to push it, yes, I think we could.
Jeff Evanson – Dougherty & Company: Okay, good. What divisions do you expect to really deliver the bulk of your revenue growth next year, is it Applied Technologies?
Ron Moquist: Well, again, growth is a relative term isn’t it?
Jeff Evanson – Dougherty & Company: Yes, it is.
Ron Moquist: Because I just said that we probably will not achieve the record earnings we achieved last fiscal year. So it becomes a relative term. But again, Applied Technology just because of their size and the percentage of the total that they make up becomes critical and so any growth we get from them is incredibly important.
Jeff Evanson – Dougherty & Company: And do you believe that division can grow?
Ron Moquist: It can grow. As I said, it is going to be a challenge. It is not going to be easy. I like our position in terms of what we're selling, because they're selling precision controls that improve productivity for the farmer and reduce operating costs. And most of them are priced at $5000 or less. And so that is an easier purchase for a grower, even if he is a little tight with the dollars opposed to a $200,000 big piece of iron. So I think we are sitting in a good position with our product line and clearly, Applied Technology is driving the train right now.
Jeff Evanson – Dougherty & Company: Can you tell us roughly what percentage of Applied Technology sales are rate controllers?
Ron Moquist: Dan, do you want to share?
Dan Rykhus: I can give you a little breakdown, Jeff. Rate controllers, I think of our business in terms of our original control line of products and then some of the other products that we have brought on over the last 8 or 9 years, and about 50% of our revenues now come from that standard control line of business. The other 50% comes from a combination of our auto bloom, our steering and our precision products, and then a small contribution from our marine segment.
Jeff Evanson – Dougherty & Company: Have you lost any OEM opportunities in the past quarter or two?
Ron Moquist: No.
Jeff Evanson – Dougherty & Company: Okay. And then, last question, can you give us backlog for Aerostar?
Ron Moquist: I don't have that, but as I said, a large percentage, well over half what we are going to ship in this fiscal year is in the backlog.
Jeff Evanson – Dougherty & Company: All right. Thanks a lot guys. Appreciate it.
Operator: (Operator instructions). And it appears we have no further questions. I would like to turn the conference back over to you, Mr. Moquist, for any additional or closing remarks.
Ron Moquist: Thank you, we have plans in place to move aggressively as market conditions change. Pulling the trigger has never been our weakness. We're prepared to do that and in the past, we have always been able to do that and are prepared to do this in this case. Cash generation and cash preservation will be a primary goal, but we will be aggressive in taking advantage of weaker competition. We still have to sell stuff to be successful. We can't save our way to success and these are not good times, but they bring out the importance of quality and financial strength and Raven has that and we will not just be survivors we will be a winner when we come out of this mess. So thank you all for joining us and good luck to all. Bye.